Operator: Good afternoon, ladies and gentlemen and welcome to the OceanaGold Q3 Period Ending September 30, 2015 Webcast and Conference Call. At this time, all lines are in listen-only mode. [Operator Instructions] This call is being recorded on Thursday, October 29, 2015. I would now like to turn the conference over to Andrea Atell. Please go ahead.
Andrea Atell: Welcome to the third quarter 2015 results call and webcast. Thank you for joining us today. My name is Andrea Atell. I am the Marketing and Communications Manager. On the call today from Melbourne is Mick Wilkes, Managing Director and CEO; Mark Chamberlain, Chief Financial Officer; and Edward Sit Woon, Corporate Controller. In Toronto, we have Sam Pazuki, Investor Relations Manager and in Vancouver, we have Darren Klinck, Head of Business Development. All references in the presentation you are about to hear are in U.S. dollars that adhere to International Financial Reporting Standards. Please note that the presentation contains forward-looking statements, which by their very nature are subject to some degree of uncertainty. I would now like to turn it over to Mick Wilkes to begin the main portion of the presentation.
Mick Wilkes: Thanks, Andrea and good morning and good evening everybody and thank you very much for joining us. The third quarter for OceanaGold was another strong production quarter for us, indeed one of great progresses for the company. Gold production was just over 120,000 ounces when you include the Waihi production and the year-to-date of just under 300,000 ounces of gold. Copper production in the Philippines was 5,200 tonnes, year-to-date 17,500 tonnes. All-in sustaining cost across the business continues to track at or below our guidance for the year at $708 per ounce year-to-date. Our consolidated financial results, which do not include the Waihi financials, give a revenue of $110 million and a net profit of $7 million for the quarter, with cash of $190 million and debt of $109 million. And that does not again include the Waihi value that’s been accrued. Importantly, we completed the Romarco acquisition on the October 1 and we are now in charge of that project construction. We also received approval from the regulator in New Zealand on the Waihi transaction on the October 12. And as of this morning, we now have taken the keys for Waihi, now the official owner of the Waihi operations. We have had encouraging drilling across the business in the Philippines and in New Zealand. And we are about to commence comprehensive program to unlock further value at Waihi. To the highlights in the Philippines, if I can go to Page #4, our guidance of 105,000 to 120,000 ounces is still intact, year-to-date production of 94,000 ounces. Copper production is, as I have mentioned, 17,500 tonnes. All-in sustaining cost of $370 per ounce has been impacted by the lower copper prices. Underground development is progressing to plan and we have continued to operate the open pit with now 15 million tonnes stockpile of ore, which is an asset for future recovery. The power line for connecting Didipio to the grid has been completed and commissioning is underway. We were set back with the recent typhoon, which occurred at the time commissioning was about to be completed. So, that has been delayed by a couple of weeks. And we have had some encouraging drilling results around True Blue and Luminag near Didipio inside the mining lease. The Didipio operating statistics, pretty steady numbers there. 29,000 ounces produced for the quarter, gold sales of just under 28,000 ounces, ore mined, 1.6 million tonnes at a grade of 0.88 and a copper grade of 0.47. So, you see the copper grades just dropping slightly on a quarter-on-quarter basis as predicted. Mill feed was strong 910,000 tonnes, which annualized, of course, is 3.6 million tonnes per annum and a strong fee grade of 1.11 gold and 0.62 copper. Gold and copper recovery is consistent with previous quarters. We have completed the Stage 4 open pit and we are advancing into Stage 5 and into ore. The shutdown process for the – process plant was completed. We are realigning the ball in the SAG mills. There is no further shutdowns planned for Q4. As I mentioned, copper grade is coming down with the greater depth in the pit. The Didipio ore inventory slide on Page 6. We just put that in there to give you a feeling for how that ore inventory, that asset is building up now valued at some $125 million on our balance sheet. So, that’s what we have been doing at Didipio is building up a significant ore stockpile that will be treated when the underground starts and supplement feed from the underground. Expiration on Page #7, in Philippines, you see the True Blue mineralization there in the bottom left of that diagram. Associated with the BHC, which is the main dominant structure in for the Didipio ore body itself and we have hit 134 meters at 1.18 grams gold and 0.25 copper, which is an encouraging result. Further drilling at Paco, down in the south has hit the same sort of rocks that the [indiscernible] deposits are contained. So, we are in the right zone. And certainly, there is more drilling to be done over the course of this year, rest of this year. More on New Zealand, so Page #8 and the highlights of New Zealand year-to-date 170,000 ounces produced, so another strong quarter for the company. Pleasingly, the all-in sustaining cost continues to fall there, $946 per ounce. I must again stress that this does not include the Waihi production and cost numbers. The New Zealand dollar has continued to be soft year-to-date. The average exchange rate is $0.71. And today, it’s about $0.66, so compared to last year at $0.83. The exploration around Macraes has produced and continues to produce some encouraging results. And we are exited about the new discovery at Coronation North, which I can talk a little bit more about. The Gold Tungsten project at Macraes is progressing well and well advanced with our feasibility study and discussions on off-take. And the Reefton Mine is performing extremely well in its last few months. Mining there has all, but completed and we are now processing stockpiles which will go on for the next three to four months. Moving on to Page #9 in the Macraes Gold operating statistics, again, no loss time injuries and 1.6 million man hours without a loss time injury acted at Macraes. And like all of the sites within OceanaGold, we continue to see improvements in our safety record. Production, pretty steady, but a little bit higher than the last quarter, around 38,500 ounces on the back of some higher grades being processed, 1.05 compared to previous quarters. Mill feed was steady at 1.42 and ore mined was 740,000 tonnes. So, a solid quarter. Another strong quarter from Macraes and in production appears to be on track. At Reefton, another very strong quarter for that operation, over 20,000 ounces produced. Importantly, you will note the difference between production and sold. The difference between those two figures is golden circuit and untreated concentrates. The year-to-date difference there is about 18,000 ounces. The cost to produce that concentrate has gone to a golden circuit figure on the balance sheet, but the money has been spent and the value of that golden circuit has not of course been realized. So, that equates to some $20 million of cash to be realized over the coming months, as that golden circuit is poured and sold. Ore mined at Reefton 810,000 tonnes was 750,000 tonnes, as we wind things down. Good grades, good mill feed at 460,000 tonnes and good grade 1.66. So the rigs in operations is finishing up with a full file and is going extremely well. And I am very proud of the team that reaped into their commitment and their dedication to the task. And in particular, keeping improving – continuing to improve their safety performance as they head towards the finish line. Moving on to exploration more broadly in Macraes on Page #11, on the left hand side, you can see the new discovery called Coronation North. And the cross section of that, some very nice intersections, including 12 meters at 12.5 grams, 8 meters at 3.9 grams, 34 meters at 2 grams. This resource is being prepared for this deposit and we hope to release that in the coming weeks. But the exciting new development for Macraes, which does show that there is more life extension expected for Macraes, which will go into life of mine plans, which are now being developed. Moving along to Waihi and we are very excited about now having ownership of Waihi in the Oceana stable. A strong production performance in the third quarter, some 33,000 ounces produced. All-in sustaining costs, very, very competitive, $500 per ounce. The financial legal close occurred this morning. In fact, it occurred about an hour ago and the integration process has been progressing very well with the support of the Waihi team and Newmont. And there has been a very collaborative relationships being developed with stakeholders and employees alike. So we are getting on with the job there at Waihi of making it an OceanaGold operation and looking forward to unlocking the further value at that high quality operation. I will now hand on to Mark for a review of the financial results.
Mark Chamberlain: Okay. Looking at Page 13, just you should note that what we have got here is a snapshot at the 2 October, which is meant that it’s post the acquisition of Romarco, but prior to the acquisition of Waihi. And it will be different from what we see in the financial statements, which are obviously at the 30 September and are pre the acquisition of Romarco. So post the acquisition of Romarco, where we acquired part of the assets, was around $144 million in cash. Our current cash position as of 2 October was $190 million. On the revolving credit facility, it’s a $210 million facility at amortized, $15 million as of 30 September. We had $132 million available, giving us total liquidity of $322 million. Our debt level was flat. The revolving credit, we had drawn down $78 million and we will be – or we have drawn down in part for the Waihi transaction now. The debt in Romarco, the project financing stood at $10 million and we had $21 million of equipment leases. So the total debt, as of the 2 October, was $109 million. That means we have liquidity of over $213 million in excess of the current debt. Moving to the following page, Page 14, we have set out the consolidated financial results. And now, we are back to talking about the position, as of the 30 September. So this is matching the financial statements, as you will see in gold production there, a figure for the third quarter of 87,000 and for gold sales 78,000. And as Mick mentioned, this reflects some of $20,000 of golden circuit, which you will see come through our cash flow, $20 million. Beg your pardon. Copper production, looking at gold year-to-date, as you will see there 264,000 ounces in production compared to 214,000 ounces. New Zealand contributed some extra 27,000 ounces and Didipio 22,000 in those comparative figures. Copper production for the quarter slightly down as we expected, but about same as it was year-to-date last year. And then looking at the gold price received, overall the gold price is around 11% lower for the year-to-date compared to the 2014 year. And copper is down some 26%. That then reflects in the revenue statement, $109 million for this quarter compared to $125 million for the second quarter. And overall, we are down around about 13% from $420 million year-to-date to $364 million. Operating costs reflect the same decline. We saw overall on year-to-date, we are looking at a 7% decline in our operating costs. EBITDA for the quarter $35 million, very similar to the $40 million of the second quarter. Depreciation line to slightly lower, reflecting the lesser ounces. Net interest, no change there. So that left us with earnings before tax for the quarter of $3.4 million or $40 million for the year. Then after looking at the income tax impact and also the fair value of our hedges, it was a net profit for the quarter of $6.9 million compared to a loss in the second quarter of $1 million. And we are currently sitting at our net profit for the year of $30.4 million. Moving to Page 15, setting out the cash flows, again as at the conclusion of the 30 September, the opening cash balance was $48.7 million, the closing cash balance of $45.9 million. So a small decline of around $2.8 million. But again, highly reflective of the golden circuit, the build up in the golden circuit we have seen and the buildup of the ore inventory at Didipio and Reefton offset slightly by a drawdown at Macraes. Investment expenditure, down compared from the second quarter where it was $38 million to $22 million this morning – in the third quarter. Set out below is the CapEx breakout for the third quarter. As you will see, all-in sustaining dominated by Didipio, where the power line was somewhat $6 million. The underground around $3.5 million and the flow-through drain around $1 million. Sustaining capital, $3.3 million for the group was $2 million out of New Zealand and $1 million from Didipio. Capitalized mining, $7.8 million at the group, $5.7 million of which is relates to Stages 5 and 6 at Didipio and then exploration, almost $1 million for the quarter. I will now hand it back to Mick.
Mick Wilkes: Thanks Mark. And now, I would like to take an opportunity to talk to you about the exciting new asset in South Carolina called the Haile deposit. On Page #17, there is a picture there of current construction works around the mine, where mining is underway and the construction of the process plant has commenced. This is a high quality asset in a very, very good jurisdiction, with some 72 – sorry 91 million tonnes of resources at around 1.7 grams per tonne for about a 5 million ounce – just under 5 million ounces resource, as we know it today. Concrete has been done. The first concrete pool has occurred for the foundations for the water treatment plant. The foundations for the mills will be poured before the end of this year. The integration post transaction, that process is going extremely well. And we now have our hands on the wheel in regard to construction and further development of that asset. Indeed, we have got the group – the rigs turning and exploration programs are being ramped up. On Page #18, it shows you an oversight, an overview of the open pit mine. The lifetimes in the Tailings facility designed for the process plant, which is a fairly simple in-line process plant, crush grind, floatation, fine grinding, CIO and water treatment. So that process plant is not dissimilar in many ways to what we have at Didipio. It’s a 2.5 million tonne per annum plant with potential to go to 3.5 million through the addition of some modifications. And it’s got a capital cost of the whole project of $333 million, which again is very similar to the Didipio project. And so our team at Didipio the ones that we are in charge of building Didipio are now at the helm there at Haile. So, we are very confident that we will deliver this project as planned by the end of next year, I should say. The Haile long section is an important one to illustrate the potential that we see with this deposit. The [indiscernible] announced reserve, which is well proven and understood by the market sitting within that open pit is the one that’s being permitted. It’s the one that we are building and the one that will be traded at 2.5 million tonnes per annum in the current process plant producing on average about 150,000 ounces a year for some 13 years. The exploration program around Haile will include drilling these underground targets beneath the open pit and they are significant. The main one is OraSure to the right and Palomino and Mustang further to the left. These are sizable ore bodies with good thicknesses of continuity and high grade. We will be starting drilling the OraSure deposit further to increase our confidence in that deposit before the end of this year and that infill drilling – sorry, that will be infill drilling mainly. And subsequent to that, we expect to start a study on the underground potential for Haile sometime later in 2016. Heading across to look at the OraSure deposit on Page #20, you can see here the very strong grade thickness intercepts for the ore body and its continuity. These intercepts of some 100 gram meters or more are highlighted in purple, a clear over a vertical distance of over 300 meters. The ore body is chunky. It’s continuous and it contains some very, very good grades. This is a very good target for an underground development startup. And we are confident that this is replicated elsewhere in the winter lives of Mustang and Palomino, albeit in a slightly different orientation of those two areas. Page #21, the regional exploration opportunities, this is one that many of you have seen before explaining how and why the Carolina Slate Belt is so attractive to us and many mining companies. It sits beneath the American plate and the African plate. It’s a tectonically affected sedimentary zone with gold, has been remobilized and all of those black dots are the sites of all gold workings that occurred over the past 220 years. The Haile deposit was last mined in 1908, where they had a small mining operation going. The last ounce was mined in at the Ridgeway Mine in 1999 some 17 years ago, when gold was $250 an ounce. Haile will be the only gold mine east of the Mississippi, the only gold mine in the Carolina Slate Belt. And there are almost certainly more of these deposits in that region and we are now currently drilling and aggressively moving forward with discovering more Haile-like deposits. So, I would now talk some more about Waihi in Page #23. Make no mistake this is a high-quality operation. It’s a 450,000 ounce resource, as we currently know it, with a 310,000 ounce reserve. The difference is only the confidence in, of course, the inferred resources. The thing to note is the grade, the grade is around 7 grams per tonne. And as you note from our operating production for the third quarter, currently, it’s operating at over 8 grams per tonne. That means when you apply it to fairly conservative mining costs of around $90 to $100 a tonne and processing cost of around $35, you do get a very low cost of production with such good grades. Sustaining capital is modest, exploration capital is ramping up, and capitalized mining is modest at the moment as we await further discovery of more veins. It’s essentially located only two hours from Auckland. It’s in a good part of the world. And it fits very neatly with the rest of our New Zealand business, of course with Macraes around Dunedin and Reefton and Blackwater projects over on the West Coast. Page #24 shows you how Waihi has consistently replaced its reserves over the past eight years. With the production of 864,000 ounces per mined ounces of just under 1 million, they had been out – that deposit has been able to maintain its reserve base with steady production of around 100,000 to 120,000 or 130,000 ounces per annum. So, there is more of it. And Page #25 shows you a look-through section of the mined out ore bodies and the current mining at Correnso. On the right hand side, you have got the Martha open pit and the brown outlines of the old stopes that remind the old timers the very significant extensive mining operation that occurred there back in the 1890s onwards. On the left hand side, you have got the ore bodies. It had been discovered over the past 15 years by Newmont. They include Moonlight, Savona and Trio. They have been mined out by underground. And Correnso was discovered some 5 or 6 years ago and that’s the one that’s currently in production. There is potential beneath Correnso and Trio below the water table. The water table has been the extent of reserves to-date. When they are lowering that water table and getting some very encouraging results that I will show you in a minute. So, the design between the two dotted lines in geological terms is called the boiling zone of the low sulphidation, this low sulphidation epithermal system. So, there is a fair bit of science to this boiling zone and we are confident. And indeed we have intersected – Newmont has intersected this zone beneath the current Correnso deposit. So, it’s a prolific gold area, plenty of exploration potential left and we have got four rigs operating there right now to unlock that further potential. There will be an updated resource reserves stated statement expected in Q1 2016 and we look forward to delivering that to you. Page #26 shows a closer look at Correnso. So, this is a long section of the Correnso ore body. You have got the Correnso stopes, which is the pink, which is the current reserve. The blue, which is being resources and we will mix those into reserves with further drilling. And then the dotted pink line on the bottom right is the opportunity. So, that’s that down plunge trend of this ore body. And you see the intercepts there, 4.7 meters at 18 grams. It’s indicative of what’s being hit in that. You see the bottom right hand corner there is another red intercept of greater than 50 gram meters on the same structure. So, this is real. We are dropping the water table at the moment as I mentioned. And we are getting into the drilling more definitively. Page #27 is a three-dimensional – a 3D view of the mine, the green ore bodies, Moonlight, Trio and Savona that had been mined out, because the pink, the old mine workings below the pit. Correnso, Empire and Daybreak is the current reserve and there is additional resource on each of those. Quattro is the new discovery that’s been drilled this year. It’s got the two intercepts so far. We are doing more drilling there and that’s shaping up to be potentially another vein that can be exploited. And then there is also potential for another cutback on the open pit, which does have some strong potential. More regionally, Page #28. You can see this, the Coromandel Peninsula is a very well endowed gold district over 11 million ounces has been mined from the Coromandel from over 50 epithermal deposits. We do have four exploration permits in the region. We do have gold resources of some 150,000 ounces in Wahoi region. In Hauraki, we have got a deposit there called WKP, which has got about 260,000 ounces in resource. Drilling ceased there in 2013 and we intend to perhaps start that up in the not too distant future. But getting exploration going in this region is something that we would like to do. And we would like to do that in a constructive way and dialogue with government and local communities alike. So looking ahead, what we are now doing is a period of consolidation through mine optimization. We have got the optimization program to do at Waihi over the next 18 months. At Didipio, we will be connecting to the grid and reducing our operating cost further and extending the mine life of Macraes through further exploration and mine life extension. Development and studies, we have got the Haile project under construction and the underground study which will start sometime next year. We have got the Didipio underground under construction. And of course, we have got the Macraes gold tungsten project, which is progressing well. On exploration, we have got Waihi, where we will be heavily investing in exploration in both around Waihi and more regionally. We have got terrific opportunities at Haile with regional targets and beneath the pit. And in the Philippines, I am hopeful that exploration will be ramped up there next year as things are looking more positively – as we look positively towards the election in May. Just lastly, I would like to point out some upcoming site visits. It will be very exciting to show the market, what we are doing at Macraes and Waihi in the end of November. So November 25, at Macraes, November 26, at Waihi, then equally, very excited to show the development and the potential at Haile, on February 19, 2016. And the usual annual trip to Didipio around mid-April next year. So, thank you. I will hand back to Andrea.
Andrea Atell: Thank you, Mick. At this time, we would like to open the line to questions. For those who wish to ask the questions, we will be taking them through the telephone only. And we ask you to dial in now. We will now pause for a few moments, so we wait for the callers to queue. And I will turn the call over to the operator to assist with facilitating this process.
Operator: Thank you. [Operator Instructions] Your first question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: Thank. A couple of questions, if I may please on Waihi, because it’s not really clear on my mind of how that thing works, so first of all you talked about the strong potential of that pit CapEx, can you just scope out what strong potential actually means in terms of numbers?
Mick Wilkes: It’s a little bit early for that. We do have an inferred resource there. There are a number of models falling around and we will publish some updated resources in the next few months. But let’s just say it does have potential to add another 5 years to 10 years of mine life to Waihi.
Michael Slifirski: The open pit alone?
Mick Wilkes: Yes.
Michael Slifirski: Okay. That means strong potential, I understand that. Secondly with Quattro, it looks like there is development relatively close on that schematic you have got. To access it, to set it up, what sort of capital would be required and therefore what size does it needs to be commercial?
Mick Wilkes: Again, it’s a bit early. I couldn’t give you a number of development meters. But that would be in the tens of millions to develop that ore body, as it has been at [indiscernible]. And it would again require permit for the extraction of ore body and just as Correnso has done. Yes, so there would be some development across. It’s not that much. These things aren’t that far apart. It’s not very deep, it’s only about 300 meters. I am sure you will get a much better idea that when you visit in – at the end of November.
Michael Slifirski: Okay. Thank you. And then thirdly, with respect to the Waihi operating statistics for the quarter, the grade quality quite compared to reserves grade, is that just the quality of the veins that you are mining at the time or is a bit of less dilution. And then how does that – how do we relate that to the better than guidance on sustaining cost, was that because the grade was higher than you expected or was there something going on with the cost that’s been more advantageous than what you had included in that early guidance?
Mick Wilkes: The grade at Correnso is strong. I think they have done a good job of minimizing dilution at Correnso. The Correnso is 8 grams or 9 grams compared to some of the other areas which are less than that, around 5 grams or 6 grams. So we are in a strong area. With – to do with costs, remember that this operation, up until today, it has been continued to be run by Newmont. So we haven’t had a lot of control over those costs. But suffice to say, that they have done a good job. The cost is heavily dependent on the dilution through the mill and the production performance, which has been quite strong. So we are – I think from now on, we will be getting on with the job of improving our productivity where we can and reducing the cost base. And hopefully that, I am sort of quietly confident that, that better cost base will continue.
Michael Slifirski: Thanks. So I will sneak in one last one, if I may, because it’s a relevant right now. And that’s in terms of Correnso’s contribution to future production, how long was it with you and is it the main source for a number of years?
Mick Wilkes: It is the main source for a number of years, yes. It’s the majority…
Michael Slifirski: Yes. Great. Thank you.
Mick Wilkes: Thanks Michael.
Operator: Thank you. Your next question comes from Chris Watson, Private Investor. Please go ahead.
Chris Watson: My question is probably best directed to the CFO. So Mark, Pacific Rim, I know it’s been a long time since you took over that company since 2009 and it’s gone before the International Centre for Settlement of Investment Disputes. But that was last September. And I know you are waiting for a hearing, but can you tell me what the book value is that you have on your balance sheet for Pacific Rim and whether that full amount is likely to be, if it does need to be impaired, what’s the value of that impairment likely to be?
Mark Chamberlain: It’s around about $16 million and there are no indications of impairment of that at the moment.
Chris Watson: That’s the book value at the moment in the balance sheet, is it?
Mark Chamberlain: Yes.
Chris Watson: Thank you.
Operator: Thank you. Your next question comes from Brett McKay from Deutsche Bank. Please go ahead.
Brett McKay: Good morning. Just wanted to see what happened at Didipio in the open pit, Mick I think you have given us guidance in the previous quarter for some lower grades coming through, whereas natural factor, the grade, mine grade went up, was that just due to better grade than expected or was there something else there?
Mick Wilkes: Now, Brett the guys on-site either had a bit of a dip in production and did some tweaking to the design, which allowed us getting to the bottom of Stage 4 earlier. And so that has smoothed the production a little. So it’s to do with the mine design as opposed to any reconciliation positives.
Brett McKay: Okay. And any impacts from the weather recently, Didipio?
Mick Wilkes: No. We had a 16-hour shutdown on the process plant. The mine of course is shutdown for a bit longer than that. We do have two or three of these typhoons each year that affected Didipio. This one was more direct. We had quite a bit of rain. We had 700 millimeters in 24 hours as a result of this typhoon. And all the infrastructure, particularly around the pit and the mine itself held up very, very well. So importantly, no one was injured and everything is back to normal now.
Brett McKay: Okay, cool. And just staying at Didipio with this exploration result at True Blue, what’s the plans sort of near mined to possibly look to bring another deposit into production given the proximity to the mill and to the existing infrastructure, what’s the plan there?
Mick Wilkes: Well, there is no plan at the moment. We want to continue to look for higher grade zones of that potentially accessing from underground. There are some factors which would inhibit an open pit in that area, mainly the Didipio, the [indiscernible] River, which runs over the top. But notwithstanding that there is still a lot of potential there at True Blue for our higher grades zones that we could perhaps extract from underground.
Brett McKay: Okay. And just finally, can you tell me what the grade of the 15 million tonnes stockpile is at the moment?
Mick Wilkes: About 1 gram gold equivalent is what we stockpile, so gold and copper.
Brett McKay: Okay, great. Thanks, guys.
Mick Wilkes: Thanks, Brett.
Operator: Thank you. Your next question comes from Reg Spencer from Canaccord. Please go ahead.
Reg Spencer: Thank you. Good morning, guys. Rolled on another year, pretty good quarter, all things considered. My questions revolve around Waihi, if I can and it’s really just what we can expect with regard to the physicals over the next year or two. Can we expect 2016 guidance on say, for example, milled tonnes and grade to be similar to what you are delivering at the moment or the back half of 2015? And also on the resource grade that you put out recently which does look like it’s kicked up on the underground only to 10 grams, is that the Correnso only or is there a little bit of that resource in the underground there comes from some of those other deposits?
Mick Wilkes: Sorry, the resource grade kicked up to 10 grams.
Reg Spencer: Yes. So, the announcement you guys put out – I have got the date here, October 15, they had a resource table in there. The underground reserve site is reserved. It’s the underground for 10 grams gold?
Mick Wilkes: Right. Yes. So I will have to go back and check that, Reg, but the reserve’s currently 1.5 million tonnes at 6.33 of gold and 24 grams of silver. Yes, look like, as I said before, a lot of that is in the Correnso deposit, which is slightly higher grade than that. With respect to ongoing production at Waihi, we are still finalizing our mining plans there, but it is not – it’s reasonable to expect that sort of performance in the second half of this year to continue next year.
Reg Spencer: Thanks, Mick. And I suppose just one more quick question to follow on from that, when you finalize your mining plans, you will obviously be in a position to give a little bit better guidance with regards to what sustaining capital might be? And again, on the pretty competitive cost that you delivered in the September quarter, you discussed the potential to bring those down even further. Are you in a position to comment on what the quantum of those improvements might be post your optimization?
Mick Wilkes: No, not at this stage, but millions of dollars that can be saved, I think through some changes in the way things are done there and doing it the Oceana way if you like. And another important thing is productivity. As I have mentioned before, we have got a mill that can do 1.3 million tonne per annum and a mine that’s currently doing 0.5 million tonne a year. So, there is plenty of room for improvement in the bottom line if we increase the mine productivity, which by itself will both reduce costs and unit costs and increase cash flow. So, we will be pushing hard on that and also pushing hard on exploration. If we need 6 rigs, we will get 6 rigs and really go hard at increasing the resources and reserves. My goal is that we want to develop, create and maintain a 10-year mine life at Waihi, such that it is and will reach its potential of being a Tier 1 asset with continued low cost of production and a long mine life.
Reg Spencer: Okay, that’s great. Thanks very much, Mick. Appreciate it.
Mick Wilkes: Thanks, Reg.
Operator: Thank you. Your next question comes from Chris Thompson from Raymond James. Please go ahead.
Chris Thompson: Hi, Mick. Thanks for taking my questions. I have got three quick questions for you here. I will start off with Didipio. What sort of grades on the copper side are you expecting, I guess, in the Q4 and into next year?
Mick Wilkes: Copper will be – for Q4 will be similar to Q3. And next year they will probably come down about 10%.
Chris Thompson: Great, thank you. And just moving over to Macraes now, I mean, I noticed the head grade there was pretty good, over 1 gram per tonne. I mean, obviously, that’s got a lot I would imagine, to do with the mix as far as stockpiles, the phrases and the open pit there. I mean, what are you guiding for? What is your feeling, I guess, as far as head grade to that mill, I guess, over the next six months?
Mick Wilkes: Well, the reason the grade is picking up there is because we are getting into more run of mine ore through the Coronation pit. And so the ratio grown to stockpile feed into the mill has increased and the grades at Coronation are quite good, relatively speaking. So, we are expecting that to continue next year. But I would just say give us the opportunity to finalize our mine plans and give some more specific guidance on that at the end of this year.
Chris Thompson: Alright, good enough. And then finally just, I guess moving over to Waihi quickly. Obviously, you mentioned the plan to drill I guess and lower the water table on that. Have you got any timeline for that or when do you think you might be in a position to test some of the deep potential occurrence over there, Mick?
Mick Wilkes: We are doing it right now, Chris. The drills are turning and the results are coming in. So, we will continue to report those.
Chris Thompson: Great, thank you very much. Congratulations on a good quarter.
Mick Wilkes: Thank you, Chris.
Operator: Thank you. Your next question comes from Michael Gray from Macquarie. Please go ahead.
Michael Gray: Hey, Mick. Thanks for taking my question. At Haile, I just wondered if you could expand a little bit about on the underground exploration and optimization studies that are going to be going on and I guess completed by the end of ‘16?
Mick Wilkes: So, the exploration around Haile itself is as I have said to do infill drilling of those resources there, particularly focusing on the Horse Shoe deposit, which I think is the most obvious target for a startup from the underground. The program hasn’t been finalized, but I am hoping that we would complete that sometime around the middle of next year with a view to completing the feasibility study on the underground towards the end of next year and from there going into the permitting process. We might put out a scoping study or a PA before that feasibility study, but those plans haven’t been finalized at this stage. The goal – the concept is to develop an underground mine that would run in parallel with the open pit, increasing throughput to 3.5 million tonne per annum from that combined ore feed and producing in the order of 250,000 ounces a year from that combined open pit and underground production.
Michael Gray: Okay. And…
Mick Wilkes: Michael, you there?
Operator: Michael has disconnected. So, our next question is coming from Geordie Mark from Haywood Securities. Please go ahead.
Geordie Mark: Yes, good morning gentlemen. Just a couple of questions there. Good stuff in the quarter, actually. Just focus on Didipio, just on the power lines coming in, just give an idea of the delta that you expect to receive on the pricing per kilowatt hour versus the softgen that you are getting now versus the grid power? That would be a good place to start things.
Mick Wilkes: With the lower field price, our cost of power has obviously come down a bit, but it’s still not as low as we will get from the grid. So, our savings on an annual basis will be about $5 million a year if you assume current oil prices. So, our power cost will be $0.14 a kilowatt hour from next month onwards pretty much. And currently, I think we are running at about 20.
Geordie Mark: Great. Thank you. And also some implicit language, I guess in the MD&A on throughput rates, given the shutdown for maintenance, we are probably that throughput rates are expected to increase and I guess on a daily basis for Q4 for Didipio?
Mick Wilkes: We are always pushing them there, Geordie. I have said before that 3.5 million tonnes is the designed capacity of that plant. We have hit that – we are confident we will hit that this year for the first time. The annualized rate is currently running at about 3.6. So I wouldn’t be putting in anything more than that. It’s not just about the capacity of the plan, it’s about reliability and continuing to deliver. And we always have to be cognizant of the fact that sometimes things do go wrong. But we are very focused on throughput and availability of the plant to maximize that tonnage. But if we get to 3.7, great, but right now, we are running at 3.6.
Geordie Mark: Okay, that’s fair enough. And also just moving over to the underground development, how is that progress going in terms of your expectations on time of your advance and costs are coming along what you are expecting or just more information that would be great?
Mick Wilkes: Yes. It’s still early days, because of course, we are just operating on a single heading and we are ramping up the development. We have got another 2 years, 2 years and a bit before we are planning getting to stoping it all. So that ramp-up is progressing pretty well. We will be sort of doing about 500 meters or 600 meters a quarter from next quarter onwards and then ramping that up further as we get into the stoping areas themselves with additional rigs in jumbo. So I am comfortable with – we are in a good space there. Costs are pretty much in line with plan. And we will report more on that as we get into the – further down the track. But early days, good start, still lots of work to do, of course. And we are progressing pretty well.
Geordie Mark: Okay, thanks a lot. Thanks. Have a good day.
Mick Wilkes: Thanks, Geordie.
Operator: Thank you. We have a follow-up question from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: Hi. Thanks. Wilkes, can you talk a little bit about Macraes, really what you are thinking strategically there and it seems that not so long ago you are talking about pace of low strip ratios, strike extensions to do a couple of more years. And now you have got this Coronation North that’s jumped out in that way, so has that changed the picture for the field in terms of your strategic planning and vision?
Mick Wilkes: Not really. The Coronation North has been a pleasant surprise and that we have discovered extensions of the nine ore bodies north of where we had thought it was with better grades. The plan is strategically, we are looking – we have got 12 targets throughout the Macraes, so the 25-odd kilometers of strike length of this, where the ore body outcrops. Where we are looking to find and they sit in between and along strike from the mine – previously mined pits. We have had success in finding some of this lower grade stock work material, which is relatively shallow in and around in this mill[ph]. And that will come into the mine plan over the next couple of years. So we haven’t sort of published all of the results here. But strategically, none, it hasn’t changed. You will see our strip ratios still – it’s around 5 or 6 to 1. So we have brought those right back and we will maintain that focus of low strip ratio ore and exploring for that.
Michael Slifirski: Great, thanks.
Mick Wilkes: Thank you.
Operator: Thank you. We have a follow-up question from Brett McKay from Deutsche Bank. Please go ahead.
Brett McKay: I just wanted to better understand why the reserves at Waihi were limited to the water table and what was the restriction there, given that you are now starting to drill that water table down and open up some of the deeper areas for exploration?
Mick Wilkes: Yes. Brett, I can’t answer that question, other than to say that it was a restriction that the team at Waihi had on the project. It is a little bit complex because the water table is linked to the underground workings and the open pit. And they just hadn’t put the infrastructure and the focus on moving that water table down at that time before we got involved. So it’s simply an opportunity, I think to further to increase the reserve base. And as we go down, we will have to install some additional pumping infrastructure to increase that pumping rate and draw it down further. But it is something that we have brought focus to and its delivering results.
Brett McKay: That long section that you have got on Page 26 of the presentation. Those deeper holes that you have got on there, are they only holes that have been drilled down to those dips or they are just better ones?
Mick Wilkes: I don’t know the answer to that question. I would say that’s all the drill holes. So there is a lot more drilling to do, yes.
Brett McKay: Okay, alright, great. Thanks Mick.
Mick Wilkes: Thanks. We welcome – we are really looking forward to getting everyone or at least the people that can come, to site at Waihi and get a really good understanding for this potential which we are quite exited about.
Operator: Thank you. Your next question comes from Jeff Killeen from CIBC. Please go ahead.
Jeff Killeen: Thanks and good morning. Just wondering on liquidity here, I am assuming now with the completion of the Waihi acquisition you are adding another $109 million to the revolving credit facility, so will that effectively max out what’s available on that credit facility?
Mick Wilkes: I will let – ask Mark to answer that question, Jeff.
Mark Chamberlain: No, it’s round about – the $101 million was the purchase price. But just to mention one thing, we have had the economic interest at Waihi since the start of July. For accounting purposes, that will be reflected in the balance sheet as of – an opening balance sheet as of today’s date. And that balance sheet will be subject to evaluation based on accounting principles. But one line you will see in there is some $24 million in cash will be inherited from Waihi. It was minimal at the start of July, but that will be the one of lines that you will see. So there is some additional cash there. No, we are not maxed up. We will have some $25 odd million left in that current facility as well. So there is an increase we are going to see because of Waihi cash being injected and there is $25 million still left in the current facility, around $25 million.
Mick Wilkes: So just to put that in a bit more perspective, so now that we are officially the owners of Waihi, our cash position as of this morning is around $214 million with debt of $210 million. So we paid $101 million to Newmont for the acquisition. And the economic benefit that’s accrued since the 1 July is $24 million.
Jeff Killeen: Okay. Thanks. So you have about $20 million of room on that revolver. Now that you would effectively be in a net cash neutral or zero position, does that change any covenants or anything on that revolver?
Mark Chamberlain: No. We are very, very healthy under all the covenants in that revolver. No change at all.
Jeff Killeen: Okay. Thanks. That’s it for me.
Operator: Thank you. [Operator Instructions] We have a follow-up question from Michael Gray from Macquarie. Please go ahead.
Michael Gray: Yes. Thanks. Not sure what happened in my line, but Mick, I just had one question on Coronation North, it looks like on Slide 11 that it may along strike daylight and come out intersected topography. Has that been tested or is there any potential there for it to come right to service?
Mick Wilkes: I am going to be honest with you, Michael. I don’t know why that tile is off there. And to the north – was it Northwest, it is possibly that’s where it does outcrop, yes. Most of the potential as I understand it is to the other direction, in the south – the Southeast direction, where we have got the question marks here.
Michael Gray: Okay, thanks very much. Good.
Operator: Thank you. Your next question comes from Benjamin Asuncion from Haywood Securities. Please go ahead.
Benjamin Asuncion: Hey, guys. Most of my questions have been answered here. I just have one question on Haile. When we are looking at the CapEx, can you just give us what the development costs were being spent through to September 30 or at the end of the third quarter?
Mark Chamberlain: So, for Haile, at the end of the third quarter, I think it’s about $107 million that’s been spent of the $333 million.
Benjamin Asuncion: Perfect. Thank you very much.
Operator: Thank you. There are no further questions at this time. Please proceed.
Andrea Atell: That concludes the presentation for today. On behalf of the team at OceanaGold, I would like to thank you for your participation. And should you have further questions, please contact the company directly. Thank you.
Operator: Ladies and gentlemen, we thank you for participating and ask that you please disconnect your lines.